Operator: Good morning, all, and thank you for joining us at the Thule Group Interim Report Q2. My name is Karl and I'll be the coordinator for today's call. [Operator Instructions] I would like to hand over to the President and CEO, Mattias Ankarberg. The floor is yours.
Mattias Ankarberg: Thank you very much. Welcome, everybody, to today's call. I'm also, as usual, joined by Toby Lawton, our CFO. We will talk to the presentation, and it is later on available on our IR website as always. So starting off with the summary on Page 2. This quarter is a quarter where we're growing even though the market is still tough, growing a bit more than in Q1 and total sales in reported currency amounted to SEK 3.4 billion. That's 16% more than last year, excluding the currency effects. We continued to see a weak market, both on the retail and the consumer side and particularly so in North America. On a positive note, it's not getting worse, but it is still tough, and we'll get back to that. Organic growth was small, plus 1.5% in the quarter. Europe is up 4% and North America is down 3%, which we are, of course, not happy about, but it's a big improvement versus the development in the first quarter, which we'll speak more about later. Quite significant currency effect in the quarter of almost 6% negative, takes reported growth in Swedish kroner to 10%. And it's very clear in the quarter and also in the previous quarter that the growth is coming from new products and new product categories, including the acquired Quad Lock performance in our business, which continues to do well. It is, I guess, fun fact, but it is the biggest quarter in terms of sales in Thule history, and about SEK 100 million bigger, I think, than the peak quarter during the pandemic. Gross margin increased close to 2 percentage points, driven by Quad Lock, which has a financial profile with a higher gross margin and higher share of SG&A. EBIT or adjusted EBIT margin was down 2 percentage points. It costs a bit more to drive growth in a tough market. And as we have said going into the year and also in Q1, we have more product launches ahead of the high season, that is in H1 this year compared to the last year. So the product development costs are higher in the first half year compared to last year. The operating profit or adjusted EBIT is in line with last year, excluding the restructuring costs for the actions we're taking in North America, the actions we announced in the last quarter. Cash flow from operations was very good at almost SEK 800 million. Just as a reminder, the working capital pattern that has been a bit different the last few years are now in line with historical seasonal pattern. And we have an inventory reduction target of continuing to reduce inventory on the back of the SEK 1.2 billion we've done last 2 years with another SEK 200 million this year, which is on track. Couple of highlights. We are very happy to have received further strong recognition for good product design. In March, we received 7 iF DESIGN AWARDS. And now in this quarter, we have received 10 new Red Dot awards, which is, of course, a lot. Big credits to our team. We've also won the ADAC car seat test, Europe's most important consumer test for car seats. We won that during the autumn with our first product, and we won it again now during spring with our second product. And lastly, the changes we have made in North America are starting to pay off, we will get back to in a little bit. Turning the page and zooming out. We see that the profitable growth trend is continuing. Thule has been a public company since 2014, and we have a good solid development of profitable growth throughout many years and continues also this year. We can also note that on a rolling 12 basis, net sales is now above SEK 10 billion. And again, EBIT is a bit weighed by product development costs earlier in the year this year. Still, the total amount is about last year. We're a product company, and we report 4 product categories. And as usual, let's go through them all to give you some flavor of what's going on in the business. The headline across all is that the new Thule products and categories are the factors driving the growth also in this quarter. Starting with Sport & Cargo Carriers, which is our biggest product category, for sure. We had a better Q2 than in Q1 with the net sales, which -- and when I say net sales here, we refer to organic growth of 3% in the quarter, takes the year-to-date number to plus 1%. Several good launches are really adding growth. So we've updated our best-selling bike carrier Thule EasyFold 3 in Q1. That's clear support for the growth. We've launched a few North America-specific bike carriers, which are really doing well. We've had a June launch of our new lightweight, more mid-priced compact bike carrier Thule Outpace, which has started really well. And in general, we have several rear-of-car cargo products that are also adding really nice growth. So several successful launches. Having said that, it is a tough market, particularly so in North America, continues to be weak as we've exited Q1, sort of Q2 continues. Consumers are cautious, but also on top of that retailers are cautious to build the inventory. So growth in total continues in Sport & Cargo Carriers in Europe. Almost there in North America in the quarter, but -- and a big improvement versus last quarter's trend. Second category, RV Products, we have the second quarter in a row now with growth despite the weak market. Had 4% growth -- organic growth in the quarter, takes year-to-date to 3%. The industry is going through a weaker period and we have -- our sales pattern reflect that. We continued to decline in sales to the OE channel or the RV manufacturers, but that's offset by good growth in the aftermarket channel, and that is to dealers. And we should also point out that also in the RV business, we have invested in new products and it is very clear that the new products, which also received some nice design awards are adding to the growth number in the quarter now that the season is here. On Page 5, we'll cover the remaining 2 product categories. And Active with Kids & Dogs is a mixed picture. In total, the category grew by 1%, which is a bit better than Q1, taking the year-to-date to minus 2%. We have 2 new product categories in this area and they are all -- they are both, sorry, adding to growth, for sure. The first is dog transportation, which was launched early last year. A really nice start last year, actually the best start of any new product category. Continues very strong also this year with a premium dog crate, Thule Allax; and the dog trailer, Thule Bexey. And we just launched the product that you see on the picture to the right, Thule Cappy, which is a crash-tested dog harness for dogs now in June, which also had a -- very early, of course, but a good start. So very pleased with the development in dog transportation products and also car seats -- child car seats, for sure, add value. Of course, boosted a bit by the ADAC test, which we're pleased about, and another new product coming also here in the second half of the year. So 2 good growth drivers there. However, offsetting that is a decline in sort of bike-related products in this Active with Kids & Dog area. Very cautious retailers to take on inventory and some of them also struggle financially, and we see that pattern from Q1 continues now in Q2. Highlights in this product family is that we continue to see a very nice good sales momentum on thule.com. But on the retailer side, it is more challenging. So a total of those 2 different sort of aspects added that to plus 1%. Bags & Mounts is also a mixed picture where, in total, the category grows a lot, but that's because we include the acquired Quad Lock business. Organic net sales, which is the Bags business, declined by 21%. So Quad Lock, if we start there, is 2/3 of this product category Bags announced now. Continues to do really well, increased sales by more than 15% organically, continues to be fueled by good products and good market expansion. And we're very happy to see that the business continues to do really well. The Bags side is the opposite side of, well, a big decline and a couple of clear reasons for why. First of all, we should just remind everybody that we have had a declining part of this category for a long time, which we refer to as legacy products that are being phased out over time. And then secondly, an important factor here is that North America represents a very large share of this category. It's, for many purposes, mainly a North American business, where the market has been very weak and a lot of this is sourced from Asia and Southeast Asia, in our case. And retailers have, particularly related to the tariffs, also been very cautious to take on inventory in this category. Same positive note as with Active Kids & Dogs that we do continue to see good growth of bags and luggage Thule-branded products on thule.com. We reach our own consumers and they are happy to receive our products, and we see sales growth there. But a very challenging retail environment in Bags. So on the note of North America on Page 6, we have, for sure, been impacted by the weak North American market in Q1, particularly following the tariff announcements made, and we had a minus 13% organic sales development in Q1. And as you may remember, if you follow us, we talked a quarter ago that we have made significant changes to North America. We have a new dedicated North American sales organization in place that is now based in our regional head office in Connecticut collocated with one of the 2 factories that we have in the U.S. And we have closed a satellite office that came with an acquisition many years ago, which -- and that decision has now been accelerated and Toby will cover that later, but it relates to the one-off costs. So that new organization dedicated to North America on the sales and marketing side, we've also focused our growth investments on we think are the most attractive pockets. We have -- we are the market leader in bike carriers, but we have lots more to do there. And then we have a new focus on pickup trucks -- or renewed focus on pickup trucks. And then thirdly, we have done price increases as of June 1 to offset the impact of the tariffs. And it's nice to see that in -- as we wrap up Q2 that the changes are paying off. It is still a weak market, although not getting worse. And we have clearly -- a clear improvement in the sales trend with minus 13% in Q1 now being minus 3%. Of course, we're not happy until it's a plus, but it's good to see that things are moving in the right direction. And it's even better to note that the difference is really driven by the new strong performing North American bike carriers, which actually have been in a very high demand even if market is tough, and we've been selling more than we can produce, which is a nice problem to have in this situation. We continue, of course, with this work and -- the bike carrier work, but also the new truck bed rack, Thule Xscape, which we believe is a really strong product, very robust and easy and quick to both install and adjust we launch here towards the winter at the end of Q4. And also note that both these products are also produced in the U.S. That's really noteworthy given the tariff discussions. We have -- we're really proud of the team and of the whole Thule organization that we have also been winning further recognition for our product development and design. So Page 7, just outlining, we won the ADAC, the Europe's most recognized car seat consumer test again and it's a product called Thule Elm rearward-facing for children, small children, between 6 months and 4 years old that won the test now in May. And digging into the details of the test results, it's particularly -- I would say, we're particularly happy to see that we are recognized as the #1 brand to eliminate misuse, which was a key part of our car seat launch that a lot of car sets are safe. But of course, we could take it to the Thule level in terms of both safety and convenience, but we also know that a lot of car seats are not installed correctly and we wanted to deliver a product where it's easy to do a good installation that is safe, and we get good results from that design. So that's really nice to see winning with the first product and with the second product. And we've also been awarded more design awards. We had 7 iF DESIGN AWARDS received in March this year. And now we have received 10 design awards from Red Dot, which is the second of the 2 big international design award organizations. Very pleased to see that. We can call out that we have -- or note that we this year have been receiving awards also for North American-specific bike carriers but also for, in this list, 2 RV products, Thule VeloSwing and Thule VeloTrack that also help our outperformance within the RV business, of course. Turning to Page 9. We are, of course, focused on growth for the short and the long term. But another one of our key priorities is to drive further efficiency within our supply chain. You may remember, we have been very focused on inventory levels and taken SEK 1.2 billion out the last 2 years. And we are now taking next step to extend and automate our warehouse facility in Poland, in Huta, in Poland. It is fully automated or will be a fully automated warehouse with triple the pallet capacity of today. And that means we can eliminate costs for 2 external warehouses and actually also reduce inventory levels. We reduce double handling and we can optimize logistics better, and of course, also lower personnel costs. And we expect this project to be -- or this new warehouse to be up and running by 2027. And I will give the word to Toby to go through some of the more investment details of the project.
Toby James Lawton: Thank you, Mattias, and good morning, everybody. Just to give a few of the financials on the Huta project. We expect a CapEx of approximately SEK 450 million and that will be phased over the next 3 years. As you see, below 30% in '25, 60% in '26 and 10% in 2027. The cash savings from the project are approximately SEK 100 million per year, which we expect to have full effect first from 2028. But there will also be a onetime positive effect on inventory of approximately SEK 80 million, and that will come successfully during the first year of operation of the new facility. Then we expect some depreciation, of course, annual depreciation of approximately SEK 25 million, which then results in an EBIT impact of SEK 75 million per year, again, with full effect first from 2028. And just to mention, this is an important project for us, but it's part of the Thule investment program that we have going on, the normal investment program, and we expect that to remain at approximately at 2.5% to 3% of revenue over time. So we expect to remain at that level, excluding leasing CapEx. All right. And with that, I can flick on to the next slide, Slide 10, and there's a lot of numbers here. But if I -- just to orientate the left- hand side here, you see there's a recap of 2024. In the middle, you see 2025 by quarter. And on the right-hand side, you see a year-to- date comparison of the figures for '25 and '24. And if I start with the revenue growth, we -- as Mattias has mentioned, we do have revenue growth, obviously, this quarter in a challenging market, but revenue growth in total is 10% from SEK 3.1 billion last year to SEK 3.4 billion this year. That's a 10% reported revenue growth. We have organic growth of 1.5% and then Quad Lock contributes with over 14%. And then we have a negative impact this quarter from FX, which Mattias has mentioned, which is obviously due to the stronger Swedish krona, which we see this quarter. The growth is driven by new products and categories, as Mattias has mentioned. And also to mention here again the last 12 months revenue has increased and is now SEK 10.1 billion when you take the last 4 quarters together. When it comes to the gross margin, we had a Q2 growth of 46.3%. This is approximately 2 percentage points up versus last year, which was 44.4%. So 2 percentage points up approximately or 1.9 percentages up versus last year. It's also 1.5% better than the first quarter gross margin. And just to mention here that the biggest factor versus last year is Quad Lock. But versus the first quarter, we are returning to the normal pattern where we still have the highest gross margin in our biggest quarter, which is the second quarter, but we expect to see a more even gross margin across the year -- across the 4 quarters. If I come down to the cost side, selling expenses have been impacted mainly by the acquisition of Quad Lock. And here, it's important to remember that while Quad Lock has a positive impact on gross margin because it has a higher gross margin, it also has a higher level of selling expenses. So it impacts -- it does impact the selling expenses. And the other factor in selling expenses is the earlier phasing of the product launches this year ahead of the high season. Then we also have administration expenses where we also have some impact from the acquisition of Quad Lock, of course. Coming down to the adjusted EBIT number. We had an adjusted EBIT of SEK 734 million this quarter, and that is adjusted to remove the impact from -- the one-off impact from restructuring costs in North America, which was SEK 31 million taken this quarter. And they relate to, yes, the closure of our site in Longmont, Colorado. So if you look at the adjusted EBIT margin, then the adjusted EBIT margin is 21.6% in quarter 2. We had 23.6% in quarter 2 last year. So this is lower than the adjusted EBIT margin last year, and the main impact here is from the development costs related to the phasing of product launches, which we mentioned earlier. So that's the main impact on the EBIT margin, but it's important to remember it's the same new products which we're launching, which are also driving the top line growth. So they come hand in hand. Then further down the P&L, we have an interest expense in quarter 2 of SEK 39 million. We have a tax charge of just over SEK 150 million, which is an effective tax rate of 23%. And then yes, net profit in the quarter of SEK 512 million. Good. Then if I move to the next slide, Slide 11. Here, we have the cash flow in the same format, so I won't repeat that. And you can see cash flow from operations in the second quarter was SEK 744 million. Working capital contributed here with SEK 156 million, which is part of our seasonal pattern, which Mattias mentioned earlier, that we build up some quarters and we release in some quarters and we release some working capital in quarter 2, but it's a swing between different lines within working capital. So this quarter, we had a good reduction in inventories of SEK 303 million, which is normal for us due to the seasonality because this is the high sales quarter so we sell down inventory. And we're still very much on track towards our annual target for the full year to reduce inventory by SEK 200 million. Receivables goes the other way, however. We increased receivables because of high sales quarter. Again, it's the same effect, and we increased receivables by SEK 282 million in the quarter. But overall working capital reduced by SEK 156 million. Then we had a CapEx in the quarter of SEK 58 million. Year-to-date, we are on SEK 98 million for the first half year. That level is expected to be a bit higher in the second year as we start to have some of the Huta CapEx in H2, but still within our expected investment program. And then we had a dividend payment also in the quarter of SEK 448 million. So all in all, that means we had a -- if I move to the next slide, Slide 12. We're very focused on our cash flow. We're very focused on managing our leverage and the net debt came down slightly, but net debt and leverage are basically on a similar level than they were in Q1. Going forward, I think it's important to be aware we do expect this to come down in Q3, both net debt and leverage ratio, net debt-to- EBITDA, and that's due to the fact that -- also due to the seasonal patterns, but that we have a strong cash flow in quarter 3 and we also have no dividend payment in quarter 3. So that means that we expect to reduce our net debt and our leverage in quarter 3. Okay. And with that, I hand back to Mattias.
Mattias Ankarberg: Thank you, Toby. Turning to a few forward-looking comments to wrap up the presentation part, I'm on Page 13. As far as focus, we continue to drive the long-term growth strategy we have in place and we're doing that in a tough market. Having said that, we are, we think, quite well positioned in a tough market. Yes, North America is tough. Yes, consumers and retailers are cautious across the world and we do expect that to continue for the coming period. But we are global market leaders in the most important product categories. We sell premium products to consumers that are enthusiasts and have the ability to pay for news and innovations. I think we have proven over time again and again that we are world-leading when it comes to developing new products and have innovation capabilities. We have a manufacturing footprint, both in Europe and the U.S.A. And we are financially strong that we can do long-term investments. And we're also well positioned in the aspect that we can impact quite a lot of our own destiny. We know that investments in product innovation pays off, both in the short and long term. Q2 is a very good example of that. And we also have opportunities to increase our efficiency and take out costs, and the extension and automation of the warehouse in Poland is a very good example of that. So things we can do within our own control. The 4 priorities that we continue to drive are product development, where we have a really high pace this year, more front-loaded compared to next year and increased focus on the attractive pockets we have identified in North America that's making a difference. We are scaling up new product categories, both the ones we've launched organically, dog transportation and child car seats and the acquired performance front mount business. We're working on being more visible to the consumer, and we can see how the DTC channel continues to outperform all other channels in the quarter again. And on the theme of supply chain efficiency, we are working on continuing to lower inventory level to free up cash and also, as mentioned earlier, now an automation project of the Polish warehouse. So clear priorities with a few new action points, but the 4 main priorities continue. We are in the middle of the high season. It is a very big product launch year. Compared to last year, we are more front loaded and the high launch pace continues now in 2025, where we have 3 themes this year: we are upgrading several of our bestsellers; we are innovating or launching innovations in our core Sport & Cargo Carrier category, the few launched and a few to come; and we're also scaling up our newest product categories. And let me just wrap up by showing you a few examples of what's coming very soon on Page 15, sorry. We have a short view of Thule Palm, which is the newest addition coming in a couple of months and adding to the car seat category. It's a high-back booster seat for the bigger children, which, of course, is safe and well Thule designed and has received positive reception so far from the retailer environment. So really looking forward to see that coming to consumers' hands. We are soon in this quarter in Q3 building out our leading duffel bag collection Thule Chasm with more types of products and new colors and also more accessories. That's been a growth driver for us and look forward to see more of that. And then with a change of mood from summer to winter, hope everybody gets a good summer vacation first. But when it comes to booking that ski vacation, keep Thule Arcos XL in mind with cargo solution behind the car, which is now wider and extended and would enable most people to transport their skis also behind their car for easier access and more convenience. So just example of a few products that are to come during the half year of 2025. That concludes the presentation part. We'll get back to summer mode, and we'll get back to the operator to manage questions.
Operator: [Operator Instructions] Our first question comes from Daniel Schmidt with Danske Bank.
Daniel Schmidt: Mattias and Toby, hope you can hear me. Just a couple of questions regarding with the U.S., which, of course, has been in focus for a number of reasons. Could you say anything starting with the reception of the price increases that you conducted by the 1st of June? I know it's quite difficult to sort of -- to really figure out what was prebuy effects and so on maybe and what's going to happen -- what happened in June? And what do you see now 6 weeks after the price increases? And maybe tie that together with sort of your belief of the underlying demand pattern in the U.S. that you've experienced so far in the past couple of months.
Mattias Ankarberg: Daniel, hear you loud and clear. Mattias here, I can start. Yes, we -- and just a reminder for everybody, we increased prices in North America with about 10% as of June 1 to offset the impact from tariffs and secondary effects, I would say, of a lot of other things. I mean, you are right in the sort of in the directions you called out, Daniel. There was a bit of -- we announced this quite well ahead of time to our retail partners. So there was a bit of prebuy in May to get the lower prices, obviously, and then a little bit softer June, but not too dramatic, I would say, in either direction. I personally believe that a lot of retailers are focused on inventory levels right now. And it's not really worth it, sort of -- or worth the risk for many to take the inventory ahead of time. And then we operate, as you know, a very retail-like supply chain model. So we can also deliver on very short notice in June. But there was a bit of a prebuy that helped May and sort of hurt June. And I guess it's a little early to see whether that would happen in July. But No drama, I would say. The other point I think that's worth calling out related to this topic is that we've seen pretty much, I would say, every single player we keep an eye on also increased prices around this timing. Some a bit earlier than us, some in June and some mid of June and some now in the sort of follow-up price increases also in July. So I think the entire market is moving up in price in most of the categories that we are in. Volumes hurt, of course, when the prices go up quite a bit, but the sales price helps, just pure mathematics. I think the underlying demand is tough and weak. I mean, there was a bit of a sort of full stop experience there among the tariffs during Q1 and then you end -- sort of left Q1 with a lower market, but stable, and that sort of continued, I'd say, throughout the second quarter and that continues in Q3 as well. News is really what's working. So I guess, that's a couple of observations around your question, Daniel, and feel free to add follow-up questions if there is something to drill more into.
Daniel Schmidt: Yes. There's a lot of moving parts, of course. And would you say that the exit rate is better than the entry rate in the U.S. for your sake in the quarter?
Mattias Ankarberg: I'd say it's about the same. I mean, the thing that really moved the needle for us in Q2, I mean, we had a minus 13% organic in North America in Q1 and minus 3% in Q2. But the thing that's moved the needle for us is the new product and the new North American bike carriers specifically and where we have really good reception. So it's more tied to -- I mean, our performance is more tied to the launches of that and the big retailers getting the bigger orders out to all the stores, et cetera, of that. So I don't think actually I could call out a big difference in underlying trends throughout the quarter except our own actions, which are the most significant part.
Daniel Schmidt: Okay. And you actually -- also speaking about growth, you actually managed to grow RV again as you did in Q1, even more so in Q2 despite the OE market being down quite a lot still in Q2. And at the same time, it was really in Q3 last year you started to see the big drop in OE and you also have one of the biggest players being out a couple of weeks ago saying that they will increase production because they think dealer inventories are now in balance. Should we start to see the OE side of RV performing better for you guys now as we get into Q3 with easier comps and these comments in mind?
Toby James Lawton: Toby here, I can comment on that one. But we -- I mean, we have seen in Q1 and Q2 the OE market is down a lot. And we've been down a lot in that sector as well. We've just been compensated by a really good performance in the aftermarket. And we do see generally, when it comes to consumer side, that the sales are decent. It's pretty stable versus prior year. So consumers are still interested in buying RVs from the dealers and inventory is coming down, as you say. But I mean, it seems to be a very mixed picture across different manufacturers. And I would say, in general, we've seen -- I think the trend is that in Q3, which is also the kind of where they take vacation stocks. But there's going to be more reductions in production capacity than expected in Q3. So we expect Q3 to be impacted more than we more than we had previously expected, it's gone a bit longer this effect. And it remains to be seen sort of, if anything carries, how much it carries on after Q3. But I think it's getting better for some manufacturers, but it's not getting better for others. So it's still going to be tough for another quarter, at least.
Daniel Schmidt: I guess sort of the German manufacturers are going to be more impacted than you maybe earlier expected then...
Toby James Lawton: Yes.
Daniel Schmidt: If I read between the lines. But again, you do have a lower base to compare with on the OE side at least.
Toby James Lawton: Yes. I mean, it did start during Q3 last year. So that's...
Daniel Schmidt: As it dropped quite a lot in Q3, yes.
Toby James Lawton: Yes. Yes, exactly. So that's...
Daniel Schmidt: And just maybe then moving on to cost and margins before I leave the floor. You did, of course, reiterate that you were quite front- loaded on PD spending. You did provide some information in Q1 saying that, that was the difference versus the margin last year. Is that true for Q2 as well? And you stick to your guidance that you will -- and should be around 7% of sales for the full year?
Toby James Lawton: Yes. I mean, I think you answered the question yourself more or less, Daniel. But yes, I mean, the biggest factor in, I mean, the margin drop versus prior year and if you take adjusted EBIT margin we are 21.6% this year, we were 23.6% last year. So the margin is lower this quarter versus last year, and the biggest factor there is the phasing of development spend towards the first half year. And we do expect development spend for the full year to be approximately 7%. So yes.
Daniel Schmidt: All right. Good. And then just finally, on the gross margin, which did pick up quite a bit, and you're right, that's basically due to Quad Lock. Is there anything else there that you want to mention that had an impact there because we did talk about freight cost and raw materials in the previous quarters. Are they now basically unchanged on a year-over-year basis? Or what's your view?
Toby James Lawton: Yes. I mean, you're correct. So the biggest -- the impact that increased the gross margin versus prior year is the Quad Lock impact. So that's true. And I think I've talked a bit about the pattern of gross margin through the year, where we expect it to be a bit more steady throughout the year, basically. That we had an uplift in Q1 this year versus last year due to the factors you mentioned, due to product mix and price. But here in Q2, it's more level. We have a 1.5% increase between Q1 and Q2, which is more in line with the normal pattern of gross margin. So year-to-date, we do have a small improvement, but it -- yes, but basically, underlying gross margins are kind of pretty much flat with last year.
Daniel Schmidt: Yes. Okay. And just finally, maybe on those investments made in Poland with SEK 75 million in savings on EBIT, full effect '28. Is that going to be back end loaded? Or is there any impact on '26 and '27 in terms of savings?
Toby James Lawton: Yes. There will be -- we expect it to start up in 2027. So we expect some effect in 2027, but the first full year effect will be 2028.
Operator: Our next question comes from Fredrik Ivarsson of ABG.
Fredrik Ivarsson: Can I come back to Daniel's question on the EBIT margin. I guess, down a couple of percentage points versus last year in the first half of the year if we exclude Quad Lock. And I guess the key driver, obviously, is the product development costs. But if you were to call out any other drivers of the somewhat lower margin, which ones would that be, please?
Toby James Lawton: It's -- the main driver is the product development cost, Fredrik. So that's the main driver of that EBIT margin impact.
Mattias Ankarberg: I think, Fredrik, to add to it, I think last in Q1 we said, I think, the full gap was explained by product development phasing and now it's the majority again in Q2. So -- and if we do exclude the Quad Lock impact that you talked about, the clear big reason is the product development cost, I mean, full in Q1 and most in Q2 as well.
Fredrik Ivarsson: And with the majority being more than 2/3 or how should we read that?
Mattias Ankarberg: Around there, I think, yes.
Fredrik Ivarsson: Yes. Okay. Good. And you might have already answered this question, but the underlying gross margin sounds flattish year-on-year. Can you just confirm that again? Sorry, I sort of missed the answer on that question before.
Toby James Lawton: Yes. No. So in Q2, the underlying gross margin is flat. The impact is from the Quad Lock acquisition in Q2.
Operator: [Operator Instructions] Our next question comes from Gustav Hagéus from SEB.
Gustav Hagéus: I have a question on OpEx, the OpEx build in the quarter. I appreciate your comments on R&D and phasing. But looking at FTEs, it builds a bit Quad Lock. I assume Quad Lock has, say, 110 FTEs, but please correct me if that's not an accurate number. But assuming that 110 FTEs to Quad Lock then, the underlying FTE base is up, say, 10% year-over-year. Inventory was down in the quarter, 1.5% organic growth. I assume no volume growth really. So curious to understand sort of the breakup here between -- perhaps if you could elaborate a bit on the breakup between Sweden and other geographies in terms of FTE build? And yes, that would help.
Toby James Lawton: I can -- so you're right, Quad Lock is approximately 110, Gustav. I'd say the remaining part is really seasonal workers in factories. So it's not Sweden, we don't have much seasonal work in Sweden. It's largely in Poland and U.S. where we have seasonal work. And we have -- being strong in bike carriers products we obviously produce ourselves and which are quite intensive on seasonal work, so we have seen -- we have a higher level of activity in our factories basically in Q2 than we had Q2 last year.
Gustav Hagéus: Okay. Would you mind sharing the number of seasonal work because you used to do that, but I think you discontinued that in Q3 last year.
Toby James Lawton: I think we don't separate out employees by different categories, Gustav. But the increase is driven by both Quad Lock and seasonal workers.
Gustav Hagéus: Okay. And the number of FTEs in Sweden now versus a year ago, is that up or down or...
Toby James Lawton: Yes. I don't have the figure to give you, Gustav, but it's stable. There's no big change.
Operator: Our next question comes from Adela Dashian from Jefferies.
Adela Abdenian Dashian: Just a few from me. Firstly, on this year's heavy product launch here. I guess how should we view this going forward? Has 2025 and I guess also 2024 been more of like a pull-forward of some product launches? And should we expect next year to be a bit more moderated? Or do you see opportunities to continue to scale the new categories in ways where growth could continue to be supported by the new product launches next year?
Mattias Ankarberg: Yes, happy to answer that question. So we work with long-term product portfolio plans for all our categories, sort of 3- to 5-year outlooks. And it's been really intense in the launch calendar both in '24 and '25, last year mainly because we added 2 new product categories and this year because we're doing more in our sort of core categories, if you like. We make decisions sort of every after summertime, the early autumn about what to launch for next year. I mean, we -- again, we have long-term plans, but we do have some flexibility to pull some things forward or shift something is out depending on what we find is attractive or not. So that's a fun and important exercise to be done during the third quarter. I think the thing I want to make sure I mention is that we have purposely and actively ran a pretty heavy product launch calendar this year because we see that what's resonating with the market and that's what's driving growth. Yes, it costs a bit more, particularly because we take a lot of our product development expenses as SG&A, right, including tooling costs and things like that. But it adds sales, gross margin and it adds, of course, positive contribution, although maybe not in percent in the same quarter. And it over time, makes us a stronger player with the partners and gives us a bigger footprint when the market returns. So we'll make those decisions for next year during Q3, and we will update you before the year is over on our launch plans for next year. But it's active decisions that we are making.
Adela Abdenian Dashian: So if that's the case, I guess, would it be fair to say that last year around this time you actively decided to push ahead with more product launches than you would have in 2025 in order to combat the weaker market environment?
Mattias Ankarberg: Yes, during Q3 last year, we had those conversations in our organization and that's when we made exactly those decisions, correct.
Adela Abdenian Dashian: Okay. Got it. All right. If we stick to North America then, is there any way for you to be a bit more precise on the growth number here, the negative organic growth? Like how much did these new product launches support? What was driven by the direct-to- consumer platform? Any type of -- I understand you can't be overly specific, but yes, any type of commentary here would be super helpful.
Mattias Ankarberg: Yes. Sure. No, we'll add what we can. No problem. I think overall, again, I sounded like a parrot, a tough market, clearly visible in some of the high tariff-exposed categories like bags, for example, where retailers are super cautious, right? That's another color there. I think 2 other comments maybe. We see that the consumers are, yes, cautious, but retailers are also very cautious on inventory build and we continue to see our DTC business in the U.S. or thule.com growing and clearly outperforming the total. So I think that's a sign that it's not just consumers, it's also a bit of retail behavior and I guess a bit credit to our DTC team as well. And I think the second color, which may be more important one I can throw in is the -- pretty much the full difference between doing a minus 13% in Q1 organic sales in North America and a minus 3% in Q2 is related to new products and particularly new bike carriers for North America. And you never really know before you launch, you believe you have some really strong products coming, but a couple of them have actually been selling more than we can produce and have to add shifts in our production capacity. So the new products are really sort of what's helping the trend improve quarter-on-quarter, and of course, also helping the total.
Adela Abdenian Dashian: Okay. That's actually good color. And then just lastly, on the inventory targets -- or the inventory reduction target that you've had for this year, are you still progressing as planned on that, no changes?
Toby James Lawton: Yes. Adela, Toby here. Yes, absolutely. So we have the target of SEK 200 million. That's on top of SEK 1.2 billion that we released over the last 2 years as well. So we expect another SEK 200 million inventory reduction this year. Yes, we're working hard towards that, and yes, we're on track.
Operator: Our next question comes from Carl Deijenberg of DNB Carnegie.
Carl Deijenberg: Maybe you can hear a bit better now. Yes, I just wanted to follow up again on Quad Lock and maybe specifically on the U.S., which is obviously quite an important market for that entity as well. And just if you could remind us a little bit on the pricing dynamics and so forth. And maybe if you could share a little bit the development during the quarter as well. I know you haven't been as pronounced on the pricing adjustments relative to, let's say, old Thule, but anything that has changed there in recent weeks on the back of the tariffs and so forth given the DTC model and outsourcing and so forth? Or has the quarter been fairly undramatic when we look at the, let's say, growth that you reported here in Q2 for Quad Lock specific in the U.S.?
Mattias Ankarberg: Carl, I think you're breaking up a little bit at the end, but I think we got your question. So I'll answer and then just follow up if there's anything else. So on Quad Lock, of course, Quad Lock exposed to many of the same kind of macro factors that, yes, I guess, not just Thule, but many companies are. So of course, there's a little bit of a headwind in the U.S. Still delivering good growth. Price increases have been made also in the Quad Lock business. It is a little bit of a different business model, as you know, because it's sort of lower ticket items and it's very heavy on DTC, 75%, and can make much more frequent changes. So it's not as sort of in the, as you call, the old Thule business, sort of more general price list as of June 1, whereas in Quad Lock we make more continuous changes. It's also maybe worth to call out that gross margin is clearly higher in the Quad Lock business, as you know. So you then can be more -- it can be more nuanced and optimizing pricing over time to carve it out. It doesn't really impact immediately the gross margin to the same extent. So to summarize, yes, same market forces, and yes, price increases in Quad Lock executed in Q2 as well.
Carl Deijenberg: Yes. Fair enough. And then coming back to the gross margin again, and apologies if this question was already asked. But has there been any headwinds in the gross margin here in Q2 or let's say, the year-to-date development on the back of the, let's say, underutilization. I guess you're having a little bit lower temp workers now as you are still reducing inventories. Or is that effect now fairly marginal as the big chunk was taken last year? Is the effect very limited now?
Toby James Lawton: I can try to answer this. But I mean, I think -- I mean, there are definitely headwinds. There's cost inflation when it comes to material cost, and of course, there are some salary increases, which we are offsetting and we're driving efficiency gains to offset as much of that as possible. But we're not offsetting it completely on the cost side. We do have to offset some through price increases, which we've done as well. So I mean, it's definitely -- there definitely are cost headwinds. And I mean, I would throw into that you mentioned a bit the kind of seasonality, we are -- we're producing a lot of the bike carriers ourselves in the U.S., in particular. We've been running out of capacity. So we've been trying to increase capacity a lot, and there we put a lot more focusing more people into the factory to try and drive up the production levels and increase capacity quickly to meet the demand. So there's a kind of a combination of many effects, but underlying it's flat versus last year.
Carl Deijenberg: Yes. Yes. And then just finally, a little bit more of a technical question, but just on the adjustment that you're taking here in Q2 of roughly SEK 30 million. Is that the Longmont facility? Is that the total that is planned to be taken? Or is there any further one-offs here expected in Q3, Q4?
Toby James Lawton: No, that's the total. So it's expected to cost to SEK 31 million.
Operator: Our next question comes from Agnieszka Vilela from Nordea.
Agnieszka Vilela: I have 3 questions. Maybe coming back to the U.S. and your comment that you've seen quite a good demand for your bike products and that you were running production somewhat lower than underlying demand. And can you tell us if you now -- have you ramped up accordingly? I mean, is your production now running and meeting your demand expectations in the U.S.?
Mattias Ankarberg: Mattias here. Yes, by and large, we have and it's a positive problem to have in this market when you have more demand than supply. But there is one product where we still would like to do a little bit faster production pace. But by and large, we are now meeting the demand as we are in mid-July here.
Agnieszka Vilela: Perfect. Let me follow up on that. Do you feel that you lost any sales in Q2 specifically because of that issues?
Mattias Ankarberg: Well, I think there's 2 ways to answer that question. First of all, could we have sold more in Q2 if we had more product capacity? Yes, that is true. So from that perspective, yes, we did lose sales. But I think from a sort of total Thule Group perspective, the answer is no because these were new products and we've been a lot focused on bringing in innovative products, new niches and new adjacent segments in North America and this is what we've been successful with. So it's not lost versus last year, but it's somewhat lost opportunity.
Agnieszka Vilela: Understood. And then just looking at your organic growth profile, you returned to growth in Q2 again now. And if we assume that we don't see much deterioration in the underlying markets, what are your expectations for your growth in the coming quarters? Just looking at your product launches, price increases and the trends that you see during the selling season right now?
Mattias Ankarberg: No. But as you know, we don't give sort of guidance or sort of clear forecast like that. But I think it's, of course, positive that what we see that we do, our own actions is giving good results. We have been more front-loaded on launches this year, but we hope that they will carry also during, of course, the rest of the high season and into the autumn and then we have a couple of more things coming. So we are very confident that Thule will be better and better as the year progresses, and that's, of course, a long-term thinking and we have more things that will be more positive for growth. And then it is an uncertain market out there and even new tariff and well, announcements/potential announcements, I guess, happening on a daily basis almost, which impacts purchase decisions from some customers and also some supply chain elements sometimes. So we are very, of course, humble about things, but very confident that we'll get better and we have more good products coming. But if the market is exactly the same or not, then we will see. But we remain focused on investing to grow and hopefully that pays off and the market is at least not getting worse.
Agnieszka Vilela: And then my last question is on the Bag business. Quite heavy decline in the quarter, more than 20% organically. Can you just remind us about the size of the legacy business right now for you? And how fast do you expect that business to be phased out? And also what kind of impact on profitability there could be if that business disappears?
Mattias Ankarberg: Yes. So I think you're very right on the dynamics and let's make sure everybody on the call gets this. I think what's now called Bags & Mounts, first of all, Mounts or Quad Lock is 2/3 of that. So that's 1/3 sort of the previously Packs, Bags & Luggage business. And out of that, around 25%, 30% or so is legacy business. The margin profile of that business is actually quite good. It's in line with sort of the Bags category in general. Otherwise, it would, of course, have been an easy decision to just delete it. But it is in product categories, which are sort of just facing macro headwinds generally or really tough marketplaces. So we're not discontinuing the products because they sell and we make money on them. And that there is a small niche even for CD wallets these days, believe it or not but -- and the camera bags and other things, but we're not investing in building it out. So it will eventually come to a decision, of course, when it's time to stop it, but we are not there this year and probably not next year either.
Operator: Our next question comes from Mats Liss of Kepler Cheuvreux.
Mats Liss: A couple of questions. Well, Europe there, could you give some sort of flavor regarding different geographical areas, countries in Europe. How you parse out the development there?
Toby James Lawton: Yes, I can take that, Mats, but I think we gave a bit of a bit of color in our report also when we talk about the regional mix, and I'm just finding the page. Yes, we -- so yes. So I mean, generally, across Europe, we see -- it's pretty even -- I would say, generally pretty even growth across most markets in Europe. And we have our kind of strongholds in kind of Nordic and DACH areas. I would say some -- we're stronger when it comes to some of the juvenile products in some markets like Benelux and in Nordics, where we're getting kind of traction quickly in those areas as well, which are going well, but generally pretty even performance.
Mattias Ankarberg: I would add to that, I agree fully with Toby's comments pretty even. I think the difference we see between the countries are, of course, there are some market [ fluctuations ], but for us it's more around product mix where we are stronger and weaker, for example, in different parts and different areas. For example, where RV industry is pretty dominant, of course, we had a pretty good quarter versus the market in RV, that helps. But big picture, pretty even across Europe.
Mats Liss: Very good. And well, coming back to Quad Lock, I guess, there, if I remember right, you have sort of indicated that the growth had been sort of 20%-plus quarter-over-quarter for Quad Lock. Have you -- well, have that trend continued in the second quarter?
Mattias Ankarberg: Yes, I think we -- when we did the acquisition, we shared some more information and also commentary on our website, if you like. The category sort of performance front mounts have been growing at around 10% to 12% historically and we believe it will continue to grow around 10% going forward. And Quad Lock has been beating that as the market leader, a lot of it thanks to product innovation and expansion of the product portfolio. So in Q1, the growth was over 20% for Quad Lock organic and now in Q2 the growth was a bit more than 15%. So beating the market in...
Mats Liss: Sounds great. And then, well, you mentioned the new car seats there for older children. And well, how much do that add to the total market opportunity for car seats?
Mattias Ankarberg: Well, it's a significant piece, but it's not as big as the segment is already out. So this is the smaller one, which is one part of why it comes a bit later. But it's good also -- it's a good one still, but it's also good from a product offering kind of perspective because kids grow, right? So we start launching products for the infants and then the toddlers and now with a little bit bigger products, you can grow with the Thule car seat family. But it's a smaller one of the 3.
Mats Liss: And are you fully loaded there now? Or should -- are there more to be in the children's area, I mean?
Mattias Ankarberg: So now we have an offer when this product is out, which is not yet, but it will be during the month then we will have the full offer between infant, toddler, and yes, children. So that feels really great in Europe. But of course, over time, we are a company focused on innovation and always pushing the boundaries. So you will see new car seat products coming from Thule.
Mats Liss: Sure. I expect that. And then, I guess, I had a question regarding -- well, you have this investment program in a new warehouse Poland. What will happen with the capacity there? Is it sort of increasing? Or is it more that you reduce the lead time to customers and so on? And maybe if you could touch upon how it affects your ability to address the DTC segment?
Toby James Lawton: I can take that. I think, I mean, what we're doing generally is we are taking over warehousing that today is covered by outsourced 3PL, yes, logistics provider. So we're taking over warehousing and bringing it in-house. And with that, we're reducing double handling where we then ship it to a warehouse, which then ships it on to end customers. So we are definitely increasing capacity. We're tripling the capacity of pallets in the warehouse in Poland, but we are reducing one step in the materials handling and we are -- it enables us also to kind of grow our logistics service to include both DTC and regular customers across Europe in a good way with good delivery times.
Mats Liss: And it doesn't sort of affect your DTC opportunity?
Toby James Lawton: No, no. I mean, we still supply DTC today and we'll do it from this warehouse in the future. So yes, [ it's both ].
Operator: We currently have no further questions, so I'd like to hand back to management team for any further remarks.
Mattias Ankarberg: Thank you very much, everybody, for joining this call. We wish you a good day and hopefully a good summer, and look forward to speaking to you again at the Q3 report, if not before. Thank you very much.